Operator: Good day, and welcome to Teknova's Fourth Quarter and Full Year 2025 Financial Results Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker, Ms. Jennifer Henry, Senior Vice President of Marketing. Please go ahead.
Jennifer Henry: Thank you, operator. Welcome to Teknova's Fourth Quarter and Full Year 2025 Earnings Conference Call. With me on today's call are Stephen Gunstream, Teknova's President and Chief Executive Officer; and Matthew Lowell, Teknova's Chief Financial Officer, who will make prepared remarks and then take your questions. As a reminder, the forward-looking statements that we make during this call, including those regarding business goals and expectations for the financial performance of the company, are subject to risks and uncertainties that may cause actual events or results to differ. Additional information concerning these risk factors is included in the press release the company issued earlier today, and they are more fully described in the company's various filings with the SEC. Today's comments reflect the company's current views, which could change as a result of new information, future events or other factors, and the company does not obligate or commit itself to update its forward-looking statements, except as required by law. The company's management believes that in addition to GAAP results, non-GAAP financial measures can provide meaningful insight when evaluating the company's financial performance and the effectiveness of its business strategies. We will therefore use non-GAAP financial measures of certain of our results during this call. Reconciliations of GAAP to non-GAAP financial measures are included in the press release that we issued this afternoon, which is posted to Teknova's website and at www.sec.gov/edgar. Non-GAAP financial measures should always be considered only as a supplement to and not as a substitute for or as superior to financial measures prepared in accordance with GAAP. The non-GAAP financial measures in this presentation may differ from similarly named non-GAAP financial measures used by other companies. Please also be advised that the company has posted a supplemental slide deck to accompany today's prepared remarks. It can be accessed on the Investor Relations section of Teknova's website and on today's webcast. And now I will turn the call over to Stephen.
Stephen Gunstream: Thank you, Jen. Good afternoon, and thank you, everyone, for joining us for our fourth quarter and full year 2025 earnings call. 2025 was another year of strong all-around execution for Teknova. Our top line revenue growth accelerated to 7% compared to 2024 despite a challenging macro environment. Revenue from sales of our catalog products led the way, growing by low double digits compared to 2024. The number of customers actively buying our clinical products increased to 60, 25% more than during 2024. We set new standards for customer service levels, delivering approximately 95% of our products on time in 2025. And we beat both our gross margin and adjusted EBITDA targets while utilizing only $10 million of cash, substantially better than our free cash outflow guidance of $12 million. Now as we look to 2026, I want to discuss why I believe Teknova has reached an inflection point in the growth strategy we articulated during our initial public offering back in June of 2021. First, we have become a critical supplier of GMP-grade reagents to developers of emerging therapies and diagnostics. Second, we deliver research-grade reagents to a large, diverse, predictable and growing set of customers. And third, with the revenue growth we anticipate, Teknova will offer an attractive financial profile of 60% to 65% gross margins and 25% to 30% adjusted EBITDA margins. Starting with our GMP-grade reagents. As I noted earlier, we are a critical supplier to 60 clinical customers, 50 of which are biopharma related. We believe we are now supporting at least 70 therapies from these 50 customers. Notably, we are increasing both the total number of therapies and the number of later-stage therapies we support as many of these therapies move closer to commercialization. We believe that at the end of 2025, we supported 5 therapies in Phase II or later and 12 in Phase I, up from 3 and 10, respectively, at the end of 2024. We now believe that we will be supporting at least commercial therapy by the end of 2027. The remaining 10 of our Clinical Solutions customers are primarily within the life science tools and diagnostics market segment. We supply these customers with everything from private label proprietary reagents for use in bioprocessing workflows to GMP-grade ready-to-use sample isolation and preparation reagents for use in cancer screening applications. We believe that similar to the therapies we support directly, these customers will scale their use of our products significantly as the diagnostics or therapies they're supporting or developing receive FDA approval. Now shifting to our research-grade reagents. Over the last 30 years, we have built a diverse and predictable business that has grown on average in the low double digits. This growth is attributable to our ability to provide a wide breadth of high-quality critical reagents for the entire life science community, combined with our ability to consistently achieve best-in-class turnaround times. This is why we have attracted over 3,000 customers while maintaining an overall 95% annual customer retention rate and a low customer concentration with only 18% of our total revenue coming from the top 10 Lab Essentials customers in 2025. As we look forward, we plan to build on these strengths by streamlining order to purchase experiences and expand further into private label manufacturing, particularly in the life science tools and diagnostics market segment. Already, many of our larger customers utilize Teknova to manufacture their proprietary formulations or direct inclusion in their kits or to produce bulk reagents for in-house manufacturing of their kits. We believe this capability will allow us to further penetrate high-growth market segments like sequencing, spatial genomics and cancer screening. Finally, we will generate significant operating leverage in our P&L as our revenue increases. That's because the investments we've already made in our facilities, IT infrastructure and automated processes and equipment will enable the company to generate more than $200 million in revenue with limited additional operating and capital expenditures. As a result, we believe that incremental revenue will continue to drop to the bottom line at a rate of approximately 70%. Considering our current cost structure and anticipated revenue growth this year and next, we, therefore, expect to become adjusted EBITDA positive by the end of 2027. Now let's talk about some possible catalysts for our business over the next 12 to 18 months. Given that we have begun to see investments in our growth strategy pay off as well as some market stabilization in life science tools, diagnostics and bioprocessing, we have decided to invest further in our commercial capabilities and activities, focusing on select market segments where we feel we have a differentiated product offering. Albeit relatively modest at approximately $2 million per year, we believe these investments will allow us to accelerate revenue growth towards the end of 2026 and into 2027 by expanding our presence with customers in these attractive market segments. We are excited to turn our primary focus back to investing in the business and away from cost cutting. In addition, there has been an uptick in reported biotech funding in Q4 2025 and early in Q1 2026. Based on historical data, we see approximately a 4-quarter lag between funding changes and their effects on our revenue. Therefore, if the increases in biotech funding continue, we would expect to see growth in biopharma-related revenue beginning in Q4 2026. Aside from funding, we also believe that some of the therapies and diagnostics we support may receive FDA approval in 2027, which we believe would result in an increase in the frequency and volume of purchases of our products. Lastly, as we have mentioned previously, we believe there is an opportunity to expand our product portfolio through collaborations and acquisitions. While we have spent recent years investing in infrastructure systems and scalability, numerous other companies have focused on developing novel products and technologies. By acquiring or collaborating closely with these companies, we believe we can expand our product portfolio and geographic footprint. The combination of our operational and commercial scale with our potential collaborators, novel products and technologies creates a great opportunity to drive additional top line growth and margin expansion over the longer term. All things considered, we believe we are well positioned to drive sustainable above-market revenue growth of 20% to 25% over the longer term and deliver long-term value for our shareholders. I will now hand the call over to Matthew to talk through the financials.
Matthew Lowell: Thanks, Stephen, and good afternoon, everyone. I'm pleased with our financial performance in 2025. As Stephen mentioned, we finished the year with momentum, delivering 8% and 7% year-over-year revenue growth in the fourth quarter and full year of 2025, respectively. This marks our sixth straight quarter of revenue growth, and we significantly improved free cash outflow from $13.5 million in the full year 2024 to $9.8 million for the full year 2025. Total revenue for the fourth quarter 2025 was $10.0 million, an 8% increase from $9.3 million for the fourth quarter 2024 and $40.5 million for the full year 2025, a 7% increase from $37.7 million for the full year 2024. Lab Essentials products are targeted at the research use only or RUO market and include both catalog and custom products. In 2025, approximately 75% of Lab Essentials revenue was derived from catalog products and 25% from custom products. Lab Essentials revenue was $6.8 million in the fourth quarter of both 2025 and 2024 as the increase in the number of customers in 2025 was largely offset by lower average revenue per customer. For the full year, Lab Essentials revenue was $31.0 million in 2025, up 7% compared to $28.9 million in 2024. The increase in Lab Essentials revenue for the full year 2025 was attributable to an 11% increase in the number of customers, partially offset by a 3% decrease in average revenue per customer. Clinical Solutions products are made according to good manufacturing practices, or GMP, quality standards and are primarily used by our customers as components or inputs in the development and manufacture of diagnostic and therapeutic products. In 2025, approximately 90% of Clinical Solutions revenue was derived from custom products and 10% from catalog products. Clinical Solutions revenue was $2.7 million in the fourth quarter 2025, a 47% increase from $1.9 million in the fourth quarter of 2024. The increase in Clinical Solutions revenue in the fourth quarter 2025 was attributable to an increased number of customers, partially offset by lower average revenue per customer. For the full year, Clinical Solutions revenue was $7.7 million in 2025, an 8% increase from $7.1 million in 2024. We added Clinical Solutions customers in 2025, growing from 48 customers in 2024 to 60 that spend more than $5,000 annually. Average revenue per customer decreased 14% in 2025 to $128,000. We expect revenue per customer to increase over time when a subset of these customers ramp up their purchase volumes as they move through clinical trial phases. However, this metric can be affected by the addition of newer clinical solutions or GMP catalog customers who typically order less. Just as a reminder, due to larger average order size in Clinical Solutions compared to Lab Essentials, there can be more quarter-to-quarter revenue lumpiness in this category. On to the income statement. Gross profit for the fourth quarter of 2025 was $3.2 million compared to $2.1 million in the fourth quarter 2024 and $13.4 million for the full year 2025 compared to $7.2 million for the full year 2024. Gross margin was 32.5% in the fourth quarter 2025, which is up from 23.0% in the fourth quarter 2024 and 33.2% for the full year 2025, which is up from 19.2% for the full year 2024. The increase in gross profit percentage in the fourth quarter 2025 was primarily driven by higher Clinical Solutions revenue and manufacturing efficiency gains. The increase in gross profit percentage for the full year 2025 was primarily driven by the $2.8 million nonrecurring and noncash charges in 2024 related to the disposal of expired inventory and write-down of excess inventory. Excluding these nonrecurring and noncash charges, gross profit and gross margin would have been $10.0 million and 26.5%, respectively, in 2024. The improvement in gross margin from 26.5% to 33.2% was driven primarily by higher revenue and manufacturing efficiency gains. Operating expenses for the fourth quarter 2025 were $7.9 million and for the fourth quarter 2024 were $7.8 million. Excluding the nonrecurring charges of $0.5 million in the fourth quarter of 2025 related to nonrecurring transaction expenses, operating expenses were down $0.4 million. The decrease was driven by an overall net reduction in general and administrative spending, somewhat offset by increased investment in our sales and marketing efforts. Operating expenses for 2025 were $30.4 million compared to $33.4 million in 2024. Excluding nonrecurring charges of $0.5 million in 2025 and $1.4 million in 2024, operating expenses decreased $2.1 million. The decrease was driven by reduced headcount and spending primarily on facility costs, insurance, freight and professional fees as well as by lower stock-based compensation expense due to onetime costs incurred in connection with the stock option repricing that occurred in 2024. At the end of the fourth quarter 2025, we had 158 associates compared to 173 a year prior. Net loss for the fourth quarter 2025 was $4.8 million or $0.09 per diluted share compared to a net loss of $5.7 million or $0.11 per diluted share for the fourth quarter of 2024. Net loss for the full year 2025 was $17.3 million or $0.32 per diluted share compared to a net loss of $26.7 million or $0.57 per diluted share for the full year 2024. Adjusted EBITDA, a non-GAAP measure, was negative $1.8 million for the fourth quarter of 2025 compared to negative $3.2 million for the fourth quarter of 2024. Adjusted EBITDA for the full year 2025 was negative $6.7 million compared to negative $14.5 million for the full year 2024. Excluding the $2.8 million inventory charge, adjusted EBITDA would have been negative $11.7 million for the full year 2024. On to cash flow and balance sheet. Capital expenditures for the fourth quarter 2025 were $0.3 million compared to $0.6 million for the fourth quarter 2024. Capital expenditures for the full year 2025 and 2024 were both $1.1 million. Free cash flow, a non-GAAP measure, which we define as cash provided by or used in operating activities, less purchases of property, plant and equipment, was negative $0.8 million for the fourth quarter 2025 compared to negative $1.5 million for the fourth quarter 2024. Free cash flow for the full year 2025 was negative $9.8 million compared to $13.5 million for the full year 2024. This decrease compared to prior periods for both the quarter and the full year was primarily due to lower cash used in operating activities. As of December 31, 2025, we had $21.3 million in cash, cash equivalents and short-term investments and $13.2 million in gross debt. Turning to our 2026 guidance and outlook. We are providing 2026 total revenue guidance of $42 million to $44 million. At the midpoint, this implies approximately 6% revenue growth compared to 2025. Over the last several quarters, other than in biotech, we saw strength from life science tools, diagnostics and other end markets that we serve. While we saw an uptick in the amount of capital raised in the biotech industry in the fourth quarter 2025, we are looking for evidence that this can be sustained for longer before becoming more bullish on a recovery in this sector. Customer conversations about 2026 orders are encouraging, but we have yet to see a material change in the number of larger orders from our Clinical Solutions customers, which are critical to faster growth. As we have indicated before, due to the high percentage of fixed costs associated with our operations, we estimate that each additional dollar of revenue drops through at a marginal cash rate of approximately 70% with some variability quarter-to-quarter in reported results due to GAAP accounting. We expect to see gross margin in the mid-30s percentage range in 2026 compared to 33% in 2025 based on the midpoint of our revenue guidance. The company posted operating expenses, excluding nonrecurring charges, below $8 million for the seventh quarter in a row. After 2 years of significant cost cutting, we have successfully maintained our cost structure since early 2024 and are now in a position again to make prudent investments for growth. Now that we see early signs of a market recovery in biotech specifically, we have decided to increase our investment in sales and marketing by approximately $2 million in 2026. Our expectation is that this investment will pay off as soon as the end of 2026, but more likely in 2027 in the form of double-digit revenue growth rates. At this higher spending level, we expect to become adjusted EBITDA positive in the range of $52 million to $57 million in annualized revenue. If customer end markets are stronger in 2027 and our stepped-up commercial activity bears fruit as expected, then we should report a positive adjusted EBITDA quarter by the end of 2027. The company saw a reduction in free cash outflow during the fourth quarter of 2025, both sequentially and versus prior year. This is the lowest quarterly free cash outflow in nearly 5 years when we began our transformation. Once again, the company is pleased to report that free cash outflow for the full year 2025 of $9.8 million was below our guidance of less than $12 million. As we turn to 2026, the company expects free cash outflow to be less than $10 million due to the increased investment in our commercial capabilities. In conclusion, we are excited about the future and the company's competitive positioning in a market with attractive fundamentals. We believe our decision to shift our posture towards investment should drive faster growth and in the medium to long term and with it also significant margin expansion. With that, I will turn the call back to Stephen.
Stephen Gunstream: Thanks, Matt. Overall, we were very pleased with our fourth quarter and full year 2025 performance and the progress we made against our strategic priorities. We believe the long-term outlook for our end markets remains positive, and we are committed to executing on our strategy to help our customers accelerate the introduction of novel therapies, diagnostics and other products that improve human health. We will now take your questions.
Operator: [Operator Instructions] Our first question will come from the line of Brendan Smith with TD Cowen. I wanted to ask a bit more about some of the emerging segments you mentioned that could be notable growth drivers in the coming quarters like sequencing, spatial genomics, cancer screening. Can you expound just a bit on how some of that $2 million in additional investments into commercial capabilities could realistically index to some of those markets and maybe just your general outreach strategy to really tap into whatever you see as the best entry point for Teknova?
Stephen Gunstream: Sure. Thanks, Brendan. Yes, this is part of the reason we're doing the commercial investment. In the last year or so, we've seen some increased sales from those particular customers. And without significant commercial investment, we've been able to expand wallet share. Most of these are already somewhat a customer of ours. So we see this pretty exciting. We -- from a commercial investment, part of the investment goes to bringing in a couple of people in the field that have great relationships with these customers, have worked with them in the past and can give us a little bit more focus on that. And another part is really around building the branding and awareness towards those customers so that they think of us first. And we're doing quite a bit more private labeling for these customers as well. And so the fact that we're already in a lot of their discovery and development is a natural segue for us to have these conversations about much larger volumes and orders and do some private labeling. So we're pretty excited about it.
Brendan Smith: Got it. And maybe if I could, just a quick kind of high-level follow-up to your commentary on the 4-quarter lag from biopharma funding changes. I guess, would you expect any particular revenue segments within your business to maybe feel some of that faster than others and potentially pull forward if things continue to look good? I'm just mostly wondering what you think the likely possibilities for potential upside to guidance this year could be.
Stephen Gunstream: Yes, absolutely, Brendan. I mean the one segment that's the most affected by the biotech funding is what we call our custom biopharma. It's custom products, whether they're research or clinical solutions products, that are custom-made for the biopharma industry. This has historically represented about 25% of our revenue. When we saw biotech funding go up significantly in the 2020, 2021 time frame, we were able to track that particular segment to be about a 4-quarter lag on the way up, maybe a little bit faster, 3 to 4 quarters on the way down. And so that's the segment that would probably have the most impact. We might see it a little bit earlier depending on which of the actual accounts that were in with loss of wallet share go up and get funding first. So there's a chance there's something going to be looking at it. And of course, there's been a lot of work over the last couple of years of just preparing for a moment where people can raise money again. And I do think that they're going to be eager to spend it. But at this point in time, as Matt said, it's not built into the plan for 2026. So we're going to keep our eye on it.
Operator: One moment for our next question. And that will come from the line of Matt Larew with William Blair.
Jacob Krahenbuhl: This is Jacob Krahenbuhl on for Matt. Kind of want to follow up on those last points you mentioned you were just talking about, but focus on the adjusted EBITDA target you laid out for 2027. So you mentioned targeting positive adjusted EBITDA by the end of 2027. I know previously you said you needed to be in that $50 million to $55 million annualized revenue range. I think it's up to $52 million to $57 million now. That's probably largely just due to the $2 million of incremental OpEx you plan to spend per year, which makes sense. But even still, that assumes just based on the midpoint of guidance this year, high 20% revenue growth in 2027. So I guess, really just would like to get you to speak more to on what exactly you're kind of seeing in the end markets that's making you more cautious for this year versus 2027 and what you need to see develop kind of in the end markets, maybe aside from just an improvement in -- or pull forward in spending from your biopharma customers to maybe have some of that bullishness come forward into 2026 versus 2027?
Matthew Lowell: Yes. Maybe I can go ahead and take that one, Stephen, and you can add in anything that I missed here. But I think it was good for us to introduce this concept of being EBITDA positive by the end of 2027. That's something that we feel really good about. Otherwise, we wouldn't have said it, obviously. But -- and just to clarify on that point and what it means, it would mean that by the end of next year, we have to be run rating at roughly $13 million to $14 million a quarter in revenue. So that's something that we feel good about. And we do, as we've already outlined and Stephen in some detail, are excited about these investments. We have a strong conviction that they're going to work based upon what we've been doing in the past. The timing is a little bit uncertain of when we're going to see the benefits of that. And it is in part dependent on the recovery of the industry and just also, obviously, the -- how quickly we're able to penetrate some of these accounts that we haven't as penetrated in the past. So we are, as I said in my remarks, very encouraged by what we saw in Q4 from a biotech fundraising. From what we've seen in the early part of 2026 thus far, it seems to be headed in the right direction. We are looking for that to be sustained for a longer period of time to see that impact 2026. Otherwise, the way the momentum is building, it certainly looks good for 2027. And I think that's why you're seeing us be even more optimistic about 2027. There is that upside, though, for 2026 that if our efforts are bearing fruit sooner or the market is continuing to see strong capital raise activity that could see us -- those will be the upside levers basically to guidance for 2026. And right now, we think by 2027, the way things are headed as we see it now, that will also be another strong year or even stronger than this year for us to get to that type of goal by the end of 2027. Stephen, anything I missed there?
Stephen Gunstream: Yes. I just -- to put it simply, at the midpoint of our guidance, we're talking roughly $10 million, $11 million of revenue a quarter. As you heard Matt say, $13 million a quarter, there's lots of ways we get there, right? There's these therapies that are getting close to commercialization. There's some diagnostic things that are getting very close to commercialization. There's obviously the biotech funding in the market environment and then there's the commercial investment we've made. So we absolutely believe we're in striking distance. I think the timing is a real challenge for us. And we want to make sure we're actually seeing the revenue flow through before we commit from a guidance perspective.
Jennifer Henry: Great. And then I wanted to ask about your RUO to GMP customer transition. I think you mentioned you have -- you're supporting 60 clinical customers at the end of 2025. So maybe just for our benefit, can you help us or remind us what the average expected revenue step-up is per customer when they make that leap and as they go through each phase of the trial? And I know you mentioned in the prepared remarks, but just confirm again the amount of therapies you said you're supporting in Phase II and later. I might have missed that, but if you could go over that, it would be helpful.
Stephen Gunstream: Sure. So we -- yes, we are supporting 50 clinical customers. That's customers that have purchased from us over $5,000 in the last trailing 12 months, in this case, to all of 2025. This is -- obviously, there's been some companies that have not made it. So this is all actual purchase from us in 2025. And from a therapy perspective, yes, 70 overall therapies or more that we're supporting, 5 of which are Phase II or later and 12 of which are in Phase I. So the step-up is essentially from a Phase I customer -- or therapy, I'm sorry, a Phase I therapy through a commercialized therapy is about a 30-fold increase in spend. And the difference between, say, a phase -- late stage Phase II or Phase III to a commercial is about a tenfold. So it's about 1x to 3x to 30x. You can see how much volume of purchases will go up, assuming we're supporting a commercialized therapy.
Operator: One moment for our next question, and that will come from the line of Matt Hewitt with Craig-Hallum.
Matthew Hewitt: And this might kind of tie into that last response, but with the average revenue per customer down this year, but that's a function of adding new customers. When you look back historically, is there an average time frame before you start to see those ramp up? Or is it completely customer dependent and the therapies that they're working on and maybe other things that you really can't tie out and say, boy, it should take about 12 months before we see them go from a low volume to a higher volume?
Stephen Gunstream: Yes, Matt, it's a little bit therapy dependent. So a couple of things are driving that average down, right? And again, we're taking the therapies purchased and the average is per customer, right? So some of these customers have many therapies. It's a little bit -- there's a piece there that may be kind of disconnected in some ways. But the reality is, obviously, the more early Stage I, they're buying tens of thousands, let's say, of dollars in that preclinical stage. There -- the more we add there, the lower the average will go, which is we continue to add there. But then as they move down through the therapy clinical pipeline, of course, the spend goes up. And you're talking in the Phase II, hundreds of thousands per therapy type of thing. So the timing is very therapy dependent, right? This is not a slow strategy. The clinical trials can take 7, 10 years from start to finish. But we're excited to be getting some towards that finish line for us, which is great. And each therapy has different endpoints. So we kind of map those, and that's why you can hear us in the prepared remarks talk about we do think we'll be supporting one by the end of 2027. That may be more as well, right? So it depends on their approvals and the timings of those therapies. So I think we're getting closer to that end. And at the same time, on the front end, we're loading up the entire pipeline. So I think as these things go through commercial, you'll probably start to see that average come up.
Matthew Hewitt: That makes sense. And then you kind of -- it's a nice lead in there. So over the past, call it, year, you've had the FDA and other agencies have come out either with draft guidance or more formal guidance. And there -- it really seems like the government is pushing to shorten that drug development time frame from the 10-plus years historically to something much lower, whether it's on the front end with using AI and modeling or on the back end, they recently came out. It sounds like they're going to discontinue the need for Phase III confirmatory studies if you've got the right data. How does that shortening of the time frame, how does that kind of change your model, if at all? Or is there anything that you can do to make sure that you're getting in on the very early end in what could be ultimately a shorter development process?
Stephen Gunstream: Yes. Certainly, Matt, the shorter the time period is the bigger impact they'll have on the business, right? So we know that as they get through commercialization, there's a lot more spend there. So that could be a really nice tailwind for the business generally. There are a number that are scoring that are actually already Phase II, Phase III combined because they're either designated breakthrough or rare disease or both. And so those are always really nice to see. And we are fortunate in that many of these customers are already using us in the very early stages, right, for -- because of our capability to do these smaller batches quickly of custom formulations. And there's just not a lot of suppliers that can do that and then actually be compliant and scale all the way through commercialization. So we do feel like -- we do feel good that we have a really strong position in that particular space. And certainly, if the FDA does allow for these to be shorter time periods, we would see a benefit there over time.
Operator: One moment for our next question, and that will come from the line of Matthew Parisi with KeyBanc Capital Markets.
Matthew Parisi: This is Matthew Parisi on for Paul Knight at KeyBanc. Congrats on the quarter. Just a quick question around cell and gene customers. What was the total number of cell and gene customers for 2025?
Stephen Gunstream: Good question, Matthew. I want to make sure I don't misquote this, but this is one we can get to you afterwards, and we'll put it out with a separate deck, I believe, unless Matt, you know at the top of your head.
Matthew Lowell: Yes. I will just say that maybe one other piece of information that would be helpful, which is that our -- of our total revenue, 24% came from cell and gene therapy-related customers in 2025, which is not that different than in 2024, but that was the number for 2025. Maybe that's helpful.
Operator: Thank you. That is all the time that we have for question and answers as well as today's conference call. This concludes today's program. Thank you all for participating. You may now disconnect.